Operator: Good day ladies and gentlemen. Welcome to Broadcom Limited's first quarter fiscal year 2016 financial results conference call. At this time for opening remarks and introductions, I would like to turn the call over to Ashish Saran, Director of Investor Relations. Please go ahead, sir.
Ashish Saran - Head-Investor Relations: Thank you, operator, and good afternoon, everyone. Joining me are Hock Tan, President and CEO, and Tony Maslowski, Chief Financial Officer of Broadcom Limited. After the market closed today, Broadcom distributed a press release and financial tables describing our financial performance for the first quarter of fiscal year 2016. If you did not receive a copy, you may obtain the information from the Investors section of Broadcom's website at www.broadcom.com. This conference call is being webcast live, and a recording will be available via telephone playback for one week. It will also be archived in the Investors section of our website at broadcom.com. As you are all aware, Broadcom Limited is the successor to Avago Technologies Limited. Following Avago's acquisition of Broadcom Corporation on February 1, 2016, the first day in our second fiscal quarter, Broadcom Limited became the ultimate parent company of Avago Technologies and Broadcom Corporation. During the prepared comments section of this call, Hock and Tony will be providing details of our first quarter fiscal year 2016 results, which relate to our predecessor, Avago, only. They will then move on to providing background to our second quarter fiscal year 2016 outlook, which will relate to the combined company. We will take questions after the end of our prepared comments. In addition to U.S. GAAP reporting, Broadcom reports certain financial measures on a non-GAAP basis. A reconciliation between GAAP and non-GAAP measures is included in the tables attached to today's press release. Comments made during today's call will primarily refer to our non-GAAP financial results. Please refer to our press release today and our recent filings with the SEC for information on the specific risk factors that could cause our actual results to differ materially from the forward-looking statements made on this call. At this time, I would like to turn the call over to Hock Tan. Hock?
Hock E. Tan - President, Chief Executive Officer & Director: Thank you, Ashish. Good afternoon, everyone. As Ashish mentioned, my comments on first quarter results relate only to classic Avago, while comments for the second fiscal quarter relate to the combined company, Broadcom Limited. Now the combination of classic Avago and classic Broadcom has produced a new, larger, and more diversified company. I'm very pleased to welcome classic Broadcom employees to the new company. They are truly a very talented group of people who bring a great deal of unique engineering expertise. Talking of which, we are making very good progress on the integration front, have started to realize acquisition-related cost synergies, although we are only at the beginning of this exercise. We have also just started the process of pruning some non-core classic Broadcom product lines. Accordingly, my comments for the second quarter focus only on continuing operations, which do not include these non-core product lines, classified as discontinued operations. From a segment point of view, we will continue to report results broken out by our four end markets, namely: wired, wireless, enterprise storage, and industrial. However, starting with our second fiscal quarter, the components of revenue will increase significantly for our wired and wireless segments as a result of the Broadcom acquisition. And I will provide additional color on these changes in my end market discussion. Our enterprise storage and industrial segments will remain unchanged from classic Avago. Let me start with a short summary of first quarter fiscal 2016 results, which only refer to classic Avago. Revenue for our first quarter came in at $1.78 billion, a 4% sequential decline and in line with our guidance. Our tight control over operating expenses during the quarter helped keep Q1 operating margins flat sequentially at a robust 44% of revenue, despite the sequential decline in revenue. Earnings per share came in at $2.41, better than the midpoint of guidance. Moving on to our expectations for the second quarter, which now include revenue contributions from classic Broadcom, we expect consolidated revenues to approximately double to $3.55 billion. We currently anticipate this quarter's revenue level to be the trough for the rest of the fiscal year. So with this, let me now turn to a discussion by segment of our Q1 results as well as our outlook in Q2. Starting with wired, in the first quarter wired revenue grew by 2% sequentially, and the wired segment represented 22% of our total revenue. Growth in the quarter was driven by broad strength in our fiber-optic business, largely offset by a decline in our ASIC products, reflecting weakness in data center switching. However, starting with second fiscal quarter, in addition to classic Avago's custom networking, ASICs, and fiber-optic products, the consolidation of classic Broadcom will add Ethernet switching and routing, standard products, physical layer [PHY] copper, and optical standard products to this segment. In addition, it will also include classic Broadcom's broadband communication solutions for set-top box, cable modem, and carrier access. In this second quarter, we are expecting strength, good strength on multiple fronts in the wired segment. We're expecting growth to resume in our custom ASIC business, driven by increasing shipments to wireless base stations and the start of a product ramp into the new data center switches. Our standard ASSP [Application-Specific Standard Parts] switching, routing, and physical layer products are seeing an increase from enterprise demand. Broadband carrier access is experiencing strong activity, driven by fiber-to-the-home and DSL deployments in multiple regions, including China. And finally, we expect our set-top box business to also benefit from some seasonal refresh cycles at key customers. In aggregate, we expect second quarter revenues from wired segment to be approximately 55% of our total revenue from continuing operations. Moving on to wireless, in the first quarter revenue from the wireless segment declined by 15% percent sequentially and represented 32% of our total revenues. And just to remind you, that's just Avago classic. Last year, unusually high demand in first quarter from our North American customers offset the normal seasonality. This year, however, as we all well know, seasonality returned, and there was a product lifecycle related decline in demand from that key customer. We did see a small positive offset from an increase in shipments to our large Korean customer, driven by the launch of their new flagship smartphones, where we also increased our RF content. Turning to the second fiscal quarter, in addition to Avago classic RF FBAR [Film Bulk Acoustic Resonator] filters and power amplifiers, our wireless segment will now include classic Broadcom's wireless connectivity and custom analog handset solution. And in this second quarter of 2016 that we're in, we expect the product lifecycle related decline in demand from our North American customers to continue to impact our combined wireless revenue. And in aggregate, we expect second quarter revenue from our wireless segment to be approximately 23% of our total revenue from continuing operations. We expect the second quarter, though, to be the trough for our wireless businesses for the rest of the fiscal year, and we expect to start ramping up shipments late in our third quarter to support the increase in demand driven by the typical product cycle ramp at our North American customers. In fact, we have already started pre-building in significant quantities our RF FBAR filters to support this expected ramp. We expect the demand increase from this product ramp to be further enhanced by a substantial increase in our content in this new next-generation phone. Classic Broadcom's combo Wi-Fi, Bluetooth, GPS, and custom analog solutions will further add significantly to our content in these Tier 1 OEM-leading smartphones. By the same token, of course, we expect the classic Broadcom wireless products to also benefit from the launch of new generation of phones later this year. Let me now turn to enterprise storage. In the first quarter, this segment's revenue grew by 6% sequentially, better than expectations. And enterprise storage represented 38% of our total revenue, that's revenue of Avago classic in Q1. This was our largest segment in the first quarter. During the quarter we saw strong demand from enterprise and nearline hard disk drives. Our server and storage connectivity businesses also had a good quarter, led by seasonal growth from fiber channel shipments, while our RAID and SAS businesses largely sustained. Going forward, the composition of this segment will remain largely unchanged. However, we expect a somewhat different picture in the second quarter, with seasonal declines impacting both our hard disk drive business and server storage. We expect second quarter revenues from this segment to be approximately 17% of our total revenue from continuing operations. Finally, to the last segment, industrial, first quarter 2016 industrial segment represented 8% of our total revenue, as we had planned. In the face of lingering uncertainty in industrial end markets, we decreased shipments into distribution, and during the quarter our industrial segment revenue declined by 10% sequentially in the first quarter. Keep in mind we recognize revenue on shipment basis. So industrial resales, on the other hand, decreased only moderately, in the mid-single digits, on a sequential basis. By region, resales in Asia-Pacific were slightly up, Japan flat, Americas down moderately, while Europe declined in the low teens sequentially last quarter. Our prudent approach to distribute those shipments, which lagged resales, resulted in a reduction in channel inventory. Please keep in mind, as I said again, we recognize revenue only on a sell-in basis. And as we look at the second quarter, the composition of this segment will also remain unchanged, Avago classic. But anticipating favorable seasonality to the start of the year, we expect a high single-digit sequential increase in industrial resales. However, we will continue to manage channel inventory and expect a more moderate increase in shipments into the channel, and by that, revenue. We are also expecting a substantial increase in our IP licensing revenue due to a few deals we expect to close within the second quarter. And so in aggregate, we expect second quarter revenue from industrial to be approximately 5% of our total revenue from continuing operations of this combined company. With that color, let me summarize for the second quarter. With the addition of classic Broadcom, wired now becomes our broadest and largest segment, and we are expecting a very strong performance from multiple product lines in this segment. Wireless also becomes broader but remains tied to a limited number of large high-end smartphone customers, and we expect this current Q2 quarter to be the seasonal trough for the rest of the year. We also expect a seasonal decline in enterprise storage, but something of a recovery in industrial. We are very excited by the opportunities in front of us as a combined company to continue to drive our financial model on an even larger scale, with broader access to very attractive end markets. We continue to expect we will achieve the $750 million target in annualized cost synergies over the next six fiscal quarters, and we think we might be able to even beat that. We're also working on returning to our long-term financial model of driving operating margins back above 40% as quickly as possible. With that, let me now turn the call over to Tony for a more detailed review of our first quarter financials.
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: Thank you, Hock, and good afternoon, everyone. As a reminder, my comments on our first quarter results relate to our predecessor, Avago, while comments including guidance for the second fiscal quarter relate to the combined company. My comments today will focus primarily on our non-GAAP results from continuing operations unless otherwise specifically noted. A reconciliation of our GAAP and non-GAAP data is included with the earnings release issued today, and is also available on our website at www.broadcom.com. Revenue of $1.78 billion in the first quarter represented a decrease of 4% from the prior quarter. Foxconn and Apple were greater than 10% direct customers in the fiscal first quarter. Our first quarter gross margin from continuing operations was 61%, which was at the midpoint of our guidance range. Turning to operating expenses, R&D expenses were $238 million and SG&A expenses were $68 million. This resulted in total operating expenses for the first quarter of $306 million, $8 million below guidance, as we were cautious going into the close of the acquisition. On a percentage basis, total operating expenses were 17% of revenue, a reduction from 18% in the prior quarter. As a percentage of sales, R&D was 13% and SG&A was 4% of net revenue. Operating income from continuing operations for the quarter was $783 million and represented 44% of net revenue. Taxes came in at $35 million, which is a 5% rate for the first quarter, a bit lower than our guidance at 5.5%. First quarter net income was $710 million, and earnings per diluted share were $2.41. First quarter interest expense was $41 million, and this does not include the ticking fees we incurred in the quarter related to the debt commitments we secured for the Broadcom acquisition. Other income net was $3 million. Our share-based compensation expense for the first quarter was $57 million. The breakdown for the first quarter includes $6 million in cost of goods sold, $28 million in R&D, and $23 million in SG&A. In the second quarter of fiscal 2016, we anticipate share-based compensation expense will be approximately $195 million. Just as a reminder, the definition of non-GAAP net income excludes share-based compensation expense. Moving on to the balance sheet, our days sales outstanding were 54 days, an increase of four days from the prior quarter, caused by linearity of revenue in the quarter. Our inventory ended at $490 million, a $34 million decrease from the fourth quarter of fiscal 2015. Days on hand were 64 days, a reduction of four days from the prior quarter, as we sold raw material and work-in-process inventories in conjunction with the sale of certain fiber-optic subsystem manufacturing and related assets to a third party. We generated $474 million in operational cash flow and ended the quarter with a cash balance of $2.2 billion, which increased by approximately $350 million from the prior quarter. During the first quarter, we also received $68 million from the sale of the fiber-optic subsystem assets. In the first quarter, we spent $140 million on capital expenditures. For the second quarter, we expect CapEx to be approximately $210 million, which includes approximately $60 million for campus construction activity, primarily at our Irvine location, $50 million for ongoing capacity expansion for manufacturing RF filters at our Fort Collins fab, and $10 million of IT integration expenses related to the acquisition. On December 30, 2015, we paid a cash dividend of $0.44 per ordinary share, which consumed $122 million of cash. This dividend was raised by $0.02 from the prior quarter. Since the inception of Avago's dividend program, in the second quarter of 2011 to date, our financial performance has allowed us to increase our dividend each quarter. As you have seen, our board has also declared a dividend of $0.49 per share to be paid on March 31 this quarter. As a reminder, our board reviews and determines our dividend policy on a quarterly basis based on our financial performance and condition, the contractual provisions related to outstanding indebtedness, and other factors deemed relevant by our board. Now let me turn to our non-GAAP guidance for second quarter of fiscal year 2016, which include projected contributions from the combined Avago and Broadcom Corporation businesses. This guidance reflects our current assessment of business conditions, and we do not intend to update this guidance. This guidance is from continuing operations only. Net revenue is expected to be $3.55 billion plus or minus $75 million. Gross margin is expected to be 59% plus or minus one percentage point. Operating expenses are estimated to be approximately $832 million. Taxes are forecasted to be approximately $50 million. Net interest expense and other is expected to be approximately $161 million. The diluted share count forecast is for 443 million shares. And one balance sheet item, the ending cash balance, which is expected to be in the range of $1.7 billion to $2 billion, which includes the expected repayment of $300 million of our outstanding debt in the quarter. As mentioned, this guidance excludes the estimated results of certain recently acquired Broadcom businesses, which have been classified as assets held for sale and will be reported as discontinued operations beginning February 1, 2016. In fiscal 2015, we estimate these businesses generated $295 million in annual revenue and consumed $282 million in annual operating expenses. That concludes my prepared remarks. Operator, please open the call for questions.
Operator: Thank you. And our first question is from the line of Ross Seymore with Deutsche Bank. Please go ahead.
Ross C. Seymore - Deutsche Bank Securities, Inc.: Hi, guys. Thanks for letting me ask a question. I guess, Hock, the first one is for you. It sounds like the wired side is particularly strong in your April quarter guidance. Can you walk through a little bit of the sub-segments within that that are driving that growth?
Hock E. Tan - President, Chief Executive Officer & Director: Sure. We've seen pretty broad-based strength both from Avago classic as well as the newer product divisions from Broadcom classic. One clear example is the initial ramp of – you probably heard the announcement on data center switching, where our ASIC business are coming in and starting to see a ramp at certain cloud guys to a fairly large OEM, and this has been successful and things are moving along very nicely. And the funny thing is, while the ASIC ramp is happening, the existing products, which is using standard switch products from Broadcom classic, is also seeing a lot of strength, especially in this case from enterprise. The one thing across the board and carrying along (25:33) that, of course, are physical layer products and Ethernet switching, which all move in the same direction. So that's pretty much – it's enterprise logic, to answer your question. A couple of product ramps, but largely enterprise.
Ross C. Seymore - Deutsche Bank Securities, Inc.: Great, and I guess as my one follow-up, one for Tony. On the OpEx side, it looks like a lot of cuts have occurred already to get to that $832 million. Can you just update us on the trajectory of that towards that – I believe the $550 million in total savings? On a quarterly basis it looks like you've gotten I think mathematically over 85% of it already in your guide.
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: No, no, no.
Ross C. Seymore - Deutsche Bank Securities, Inc.: So any color you could give would be helpful.
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: No, no – so, Ross, the thing you're not putting in there is that we have about an $80 million reduction, if you look at those expense numbers I gave you, for discontinued ops. You have to pull that out because remember, we never counted that in what we thought was the synergies we're going after. The synergies we talked about was pure synergies, and then anything from discontinued ops was going to be added on top of that.
Ross C. Seymore - Deutsche Bank Securities, Inc.: So I guess could you then, taking that out of the equation, can you just talk about the trajectory to your $138 million...
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: Sure. The trajectory, like you said, is pretty bowl shaped. So we get some immediate things in Q2 and Q3. We get a little bit of slowdown as we enter into the conversion that we're trying to pull off in Q1 – Q2. And then you see the rest of it come through in late Q1 – Q2, some in Q3, to equal the 18 months.
Hock E. Tan - President, Chief Executive Officer & Director: To be specific also, Ross, if I could expand on what Tony is saying, for the rest of this fiscal year, nine more months to go, we see barely one-third of that $750 million we projected on an end state as synergies to even come in, less than one-third to come in. And in the first quarter, which is this current Q2, it's barely a fraction of that one-third.
Ross C. Seymore - Deutsche Bank Securities, Inc.: That's great color, thank you.
Operator: And our next question is from the line of Blayne Curtis with Barclays. Please go ahead.
Blayne Curtis - Barclays Capital, Inc.: Hey, guys. Thanks for taking the question and nice execution. Maybe just looking at the wireless segment, you talked about it bottoming, obviously a well-known customer having the correction. You said it was a substantial increase in content. Last quarter you talked about 20% growth in that business. Obviously, we've seen a correction since that call. Is that still the target for growth for wireless?
Hock E. Tan - President, Chief Executive Officer & Director: Say that last part? What did you say, what's my target?
Blayne Curtis - Barclays Capital, Inc.: Since your last earnings call, obviously that customer has gotten weaker. You talked about it bottoming. Is 20% the right growth to think about for wireless this year?
Hock E. Tan - President, Chief Executive Officer & Director: Yes. Probably we'll do better than that.
Blayne Curtis - Barclays Capital, Inc.: Got you, thank you. And then, Tony, just a clarification. The businesses that are held for sale now that you reviewed, is that the extent of the – when you look at assets you may sell, is that the extent of it, or could there be other businesses you may sell as well? And then within that, is there any of the businesses that you may shut down? What's the right timeline in thinking about those assets going away?
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: Like I said, this is our initial cut of the businesses as of close. So we're going to go aggressively and try to find buyers. And like I said, we go into our other modes of either harvesting or complete shutdown. It does not preclude us from adding businesses to the list as we go forward. So again, this is just part of the standard operating procedure around here, but this is the day-one list we're chasing.
Blayne Curtis - Barclays Capital, Inc.: Perfect. Thanks, guys.
Operator: And our next question is from the line of Craig Hettenbach with Morgan Stanley. Please go ahead.
Vinayak Rao - Morgan Stanley & Co. LLC: Hi, this is Vinayak calling in for Craig. My first question is on the Broadcom's multi-frequency business. What actually are you seeing for the 25G Tomahawk product lineup? That transition from 10G to 25G on the hyperscale side was something everybody was looking for.
Hock E. Tan - President, Chief Executive Officer & Director: Okay, well, there's a lot of traction. The trend is definitely accelerating and in no small degree is pushing what we are seeing here and what I articulated in my remarks, very, very good traction of 25-gig at hyper-data center guys and even some enterprise guys who are building data centers of their own. That's what's driving a lot of strength also in the Broadcom classic business and even the ASIC business of Avago classic. It's 25-gig. And it drives not just only switching, which is what you mentioned here with Tomahawk. It also drives to a large degree the associated product related to Ethernet, though that's still early, but definitely physical layer products, which is a big chunk of Broadcom classic wired segment as well. So all of this is tending to pull it all along connectivity solutions.
Vinayak Rao - Morgan Stanley & Co. LLC: Got it, that's helpful. And for my follow-up, turning to the broadband business from classic Broadcom, the neutral (31:03) STMicro, they're looking to exit the set-top box business. So what do you think the implications for profitability or share for you guys?
Hock E. Tan - President, Chief Executive Officer & Director: Nothing, we don't think about those things. We don't dream about those things. We just put our head down and keep grinding away.
Vinayak Rao - Morgan Stanley & Co. LLC: Good, that's really helpful.
Hock E. Tan - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question is from the line of Toshiya Hari with Goldman Sachs.
Toshiya Hari - Goldman Sachs Japan Co., Ltd.: Hi, good afternoon and thank you for taking my question. The first question is on the RF business. Hock, you talked about content growth at your largest customer potentially being higher than 20%. But how would you size your content opportunity in the smartphone market overall going into the back half of the year and perhaps going into 2017?
Hock E. Tan - President, Chief Executive Officer & Director: I said that in remarks in previous earnings calls, and so this is a bit of a – this is to reiterate or reaffirm what I said earlier before, which is typically year after year each generation we increase our content in this very high-end smartphone market, in excess of 20% content every year, regardless of unit increases. And we all know the units of phones in this very high-end top of the pyramid smartphones is maybe 20%, maybe 15% – 20% of that entire market made by a few key branded manufacturers, and we are very well positioned there. And our growth rate is not about unit growth. It's about content. And if this continues the same trend, if the content keeps growing over 20% a year, this coming generation, and the back half of this fiscal and calendar year remains very much on track to follow that same trend.
Toshiya Hari - Goldman Sachs Japan Co., Ltd.: Okay, very clear. My second question is on M&A. I appreciate you just closed the deal, the Broadcom deal. But can you maybe talk about your appetite for further M&A going forward and how you would balance M&A versus debt repayment or returning cash to shareholders?
Hock E. Tan - President, Chief Executive Officer & Director: Our first priority, and if Tony doesn't mind me opening my mouth (33:29), otherwise he will chime in and say what are you talking about? The first priority is we pay down debt, absolutely. Second priority is and simultaneous to it is evidenced by increasing our dividends. If we are confident about cash flow generation, which we are, we return excess cash we consider more than what we need to operate this company, even as it scales up, to shareholders, and evidenced by increasing dividends. And right now we're not doing much M&A. it would be furthest from our minds at this point.
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: And I agree.
Toshiya Hari - Goldman Sachs Japan Co., Ltd.: Okay, great. Thank you so much.
Operator: And our next question is from Vivek Arya with Bank of America Merrill Lynch. Please go ahead.
Vivek Arya - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thank you for taking my question and congratulations on the consistently strong execution, just one clarification and then the question. On the clarification on the sales guidance for Q2, I'm wondering, Tony. How much is excluded for the recent optics divestiture and then the $300 million that you said might be held as discontinued ops? Because I'm just trying to get apples to apples, of your guidance versus consensus expectations, and I want to make sure that I am excluding some of those things that are in discontinued ops or that you have divested already.
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: So it's a two-part question. First off, on the asset sale, part of that was in Q1. So it's a tough compare to say exactly what it is from Q1 to Q2, but it was fairly insignificant, I would just say that, for the overall company. And as I outlined in my final statement was the disc-ops portion of Broadcom assets is sub-$300 million. So you can do the math on that for the full year and you're talking about $80 million-ish, $80 million or less.
Vivek Arya - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Got it. And then my larger question, I know, Hock, that you are focused on the current business right now. But one thing we often hear is that companies are trying to essentially balance the amount of exposure they have to the smartphone market. And I understand your FBAR business is doing extremely well. You're seeing the content gains. But when I look at the connectivity business, I don't see the same potential for content gains. So is that a fair assessment? And if it is, then do you think that perhaps there is the potential for divesting the business and perhaps focusing on other areas, whether it's wired or storage or others?
Hock E. Tan - President, Chief Executive Officer & Director: And by wireless, you mean the wireless connectivity, which is Wi-Fi, Bluetooth, GPS, and all the related things inside high-end smartphones?
Vivek Arya - Merrill Lynch, Pierce, Fenner & Smith, Inc.: That's right.
Hock E. Tan - President, Chief Executive Officer & Director: No, we definitely highlight it. It's definitely not in discontinued ops, obviously. And we believe it is a sustainable franchise is how we would classify this business. It is one of our sustainable franchises, as is FBAR. And evolution of the technology of next-generation Wi-Fi in particular keeps coming in, improvement of performance issues of coexistence within Wi-Fi, Bluetooth, and now cellular band, it's a major, major issue that Broadcom classic are very good at addressing. And as we especially start going to 5G Wi-Fi next-generation, and that is already starting to happen, and we start seeing those high-end smartphones run multiple channels simultaneously, we start to see that our expertise, our unique technology in FBAR would actually come to bear in even improving Wi-Fi modules that can surpass performance of anything else in the marketplace to date. So that to us is a very, very complementary product line to our cellular FBAR business. So no, it's a sustainable franchise.
Vivek Arya - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay, thank you.
Operator: And our next question is from the line of Harlan Sur with JPMorgan. Please go ahead.
Harlan Sur - JPMorgan Securities LLC: Hi, good afternoon and solid job on the quarterly execution. On the broadband connected home business, this is a business that's often thought of as a relatively slow growth segment. However, cable, they're going through a pretty big major upgrade cycle to DOCSIS 3.1. Hock, as you mentioned, you've got PON in China, which continues to be relatively strong. And then we have the pay TV service provider move to 4K UHD over the next several years. What's your confidence level on the growth prospects in the broadband business this year?
Hock E. Tan - President, Chief Executive Officer & Director: There are two parts to the broadband business. Good question on your side. One is a large part of it is mainly CPE, relates to set-top box in particular. For us though, there's some over-the-top stuff like Roku, which we participate in too, but truly set-top box is the primary chunk. So there's one chunk of it on our broadband. And the other chunk of it is what I call carrier access, which is really gateways, infrastructure gateways, which are the DSLs and the GPON mostly. And then there's the set-top box. The set-top box business is – my favorite line again, a sustainable franchise. We are very well positioned. We have great technology, tie a lot of it to the fact that we have all the bits and pieces of technology, including DOCSIS 3.1. We're the only guy, the first and only guy certified in it. But we also have all the technology that integrates in one chip a digital solution. But we are not the only ones. But as somebody said, with the exit of STMicro, it even perhaps strengthens our market position and indicates how difficult this business is. But having said that, the client side set-top box, including satellite, is not something that we foresee any dramatic growth. But we do foresee stable sustainable levels, which is a big chunk of our business. Now on the carrier access, which is gateways, infrastructure gateways, that's very exciting on growth. We see alt-evolution in new-generation 2.5G and even GPON going to 10G, applying same to us across DSL. All that is happening, and that requires new capability to generate new generation of products, which we have in ample supply. Broadcom classic, those guys are phenomenal. They're there, and they always generate products better, faster than anybody else, and we're doing it here too. And that business as emerging countries and even developed countries like regions like Europe upgrade their infrastructure towards more broadband capacity and connectivity, they're going for 10G now, and we're seeing an initial ramp to it. It's pretty cool. And we see it varies a lot of strength to it. And here comes the other complementarity to our Avago classic business. We also sell the lasers, the optics that go hand in hand with many of this carrier access stuff.
Harlan Sur - JPMorgan Securities LLC: Great, thanks for the insights...
Hock E. Tan - President, Chief Executive Officer & Director: We feel very positive about this.
Harlan Sur - JPMorgan Securities LLC: Great, thanks for the insights there. And then, Tony, on the April quarter guide, looking at the combined entity and looking at your guidance for April, it looks like you guys are taking on about $120 million per quarter in OpEx. So how much of that is coming from the discontinued ops, and how much of that are the true cost synergies?
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: Like I said, it's probably $80 million, and then you can do the math and that's what we have as savings. And like Hock said, it's still just the tip of the iceberg of the synergy.
Harlan Sur - JPMorgan Securities LLC: Okay, thanks a lot.
Operator: And our next question is from the line of John Pitzer with Credit Suisse. Please go ahead.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): Good afternoon, guys. Thanks for letting me ask a question. And, Hock and Tony, great job on execution. Hock, getting back to the classic Avago wireless business, the FBAR business, given the weakness in the North American customer in the near term, is there opportunity to transition some of that capacity into the Chinese smartphone market, or do you suspect there that North American customers' capacity needs in the second half of the year are going to be such that you're going to still be capacity constrained for most of this year?
Hock E. Tan - President, Chief Executive Officer & Director: Yes. To answer your question, and I did a passing reference to that in my opening remarks. Our fab today, eight-inch – half of it is eight-inch now, by the way, converted, and we continue to gradually convert it. It's full, virtually full. We are rebuilding products for FBAR filters in particular, for the expected ramp of our North American customer. We are. And so it's pretty full. And frankly, because of that, we do sell to other customers, but we obviously have a commitment, a very clear commitment to be sure that we continue to support this North American customer. And that's always very important, not least of which they're the ones who drive the most interesting content within their phones.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): That's helpful, Hock, and then a little bit on the combined wired business. Clearly, the acquisition of Broadcom on the surface is more than justified by the financial justification, but I'm just curious. When you look at the wired business and classic Avago and classic Broadcom, have you started to see opportunities for revenue synergies? And as you answer the question, I was hoping I'd get a better understanding of how your ASIC business compares/contrasts with the Broadcom ASSP business.
Hock E. Tan - President, Chief Executive Officer & Director: They're not the same, actually. That's why I made a point to say it earlier. They co-exist – because I'll tell you this. We go to customers, and we love our customers. So we go to these OEM customers. And we basically – our ASSP switch, for instance, our router, it's a full turnkey solution. It's not just a piece of silicon. It needs to be architected in a certain way for us, and it has all the software specs that ties to it, so it's a full turnkey solution that can support a customer. As opposed to that, all our ASIC business does is my customer has to architect the switch. They have to then – basically all they're buying from us is a piece of silicon. They even do some of the front end RTL sometimes, and we do the back end. And we do the supply chain, of course. By the end of the day, all the software, we don't do; they provide it. Our ASIC business has zero software. So what we sell is a piece of silicon, finished no doubt, but there's no – all it is is hardware, no software. So what we really are offering this thing and we sell both to the same customer very often, it's really up to the customer. Some customers look at it and say, I want to invest a lot of software, invest in architecture, and just buy the ASIC from us. And they spend a lot of operating spend, R&D to do that. Or they invest much less, very little; they build a box and they buy a turnkey SOC with software from standard switching. So to the customer, it's not competition. It is two business model alternatives, one where they spend less R&D, OpEx, and maybe get time to market faster with a completed solution quickly. Or two, they spend the R&D, architect it, write the software, and go, often enough, later to market and basically try to put the secret sauce on their own, which they are at liberty to do, and we will support the customer on both models. To us and to them, it's a business model choice rather than competition.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): That was very helpful. Thanks, Hock.
Operator: Thank you. And our next question is from Chris Caso with Susquehanna Financial Group. Please go ahead.
Christopher Caso - Susquehanna Financial Group LLLP: Yes, thank you. I just had a follow-up question on some of the earlier questions with synergies, and specifically on the synergies on the COGS side. Can you talk about the timing in which you expect to see some of the COGS synergies? And from a COGS side, which I suppose is largely manufacturing, do you expect that savings would come faster or slower than the average of what you said, about a third of the total for the total year?
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: Specifically, in Q2 here, there's very little COGS in there. If any, we'd get something late in the quarter. And I think you'd see more material COGS changes in the second half, and I think that's the way it will work on COGS. If you took COGS as its own line, it's probably going to implement itself in the middle of those six quarters roughly, but very little into Q2 right now.
Christopher Caso - Susquehanna Financial Group LLLP: Okay, great. That's helpful. And then with regard to the integration of the classic Broadcom business, clearly you're approaching the businesses a bit differently. Could you talk perhaps about how you plan to manage the businesses in terms of organization, how you're measuring against goals and management incentives, what you may be doing differently as opposed to how Broadcom has managed in the past?
Hock E. Tan - President, Chief Executive Officer & Director: Well, what we have done, as you gather from the way we talked about discontinued businesses versus continuing operations, we have identified the core businesses that are extremely, extremely sustainable, key criteria, but also where Broadcom classic has extremely strong positions and continue to lead by technology leadership, which we encourage them to keep investing. And that's what we are like; we're very focused. So we identify a bunch of these businesses and we put a general manager in charge of each of those businesses who are responsible for their own entire P&L except support functions on SG&A. Otherwise, they're responsible for product development, positioning their products, marketing their products, and developing their product. And each of them run by a management team under a general manager reporting directly to me, and they have specific targets and goals. And the biggest overwhelming goal for each of them is sustain their leadership, and that comes in two parts, market leadership and technology leadership. So we let them invest as much as they need to sustain it, but we want them to be very focused on continuing to be very strong in the markets they are in, in the narrow markets they are in, so we define that very clearly with them, each other, and we continue that way. And so anything that is not those core businesses is what we really call discontinued operations. We do not go to look at adjacent markets. We do not go shooting up into the stars and send people to Mars or stuff like that. No, we don't do that. We focus on the core business, and the key thing is sustainability and being a technology leader. And we have identified a bunch of them as we have in Avago classic. You just add it all together and we have a fairly flat organization, each business run by a management team with their own general manager and a set of goals.
Christopher Caso - Susquehanna Financial Group LLLP: That's great.
Hock E. Tan - President, Chief Executive Officer & Director: That's really how we run the business.
Christopher Caso - Susquehanna Financial Group LLLP: That's good color. Thank you very much.
Operator: Thank you. And our next question is from the line of Srini Pajjuri with CLSA Securities. Please go ahead.
Srinivas Reddy Pajjuri - CLSA Americas LLC: Thank you. Thank you. Hi, Tony. On the debt payment, if I look at your business, I think it's going to generate close to almost $5 billion free cash flow. I'm just wondering. How much of that free cash flow is available to you to pay off the debt given, if I recall correctly, with Broadcom, the majority of that was offshore. So I'm just wondering how that changes with Avago.
Anthony E. Maslowski - Chief Financial Officer & Senior Vice President: Again, not much has changed on cash flow of the Broadcom business. So remember, about 70% of it is semi-trapped, meaning that it can't be used for probably general purposes, but we can use it for debt purposes on a worldwide basis. The other 30% is similar to the Avago cash flow, which is untrapped, and the Avago portion remains untrapped. So you're right, we could probably take on bigger goals around the debt and so forth. But for right now we'll just post that on a quarterly basis to you what we're planning to pay off. And I think you can see that if we hit our goals on synergies and everything else, we'll quickly get back down to an EBITDA ratio of less than two times probably within a year or so if we execute on our synergies and so forth. So we're not too concerned about the debt we took on. And we took on debt at a lower ratio than we did even on the LSI time.
Srinivas Reddy Pajjuri - CLSA Americas LLC: Okay, great. And then on the non-core asset that you classified, Hock or Tony, it looks like it's coming off of the wireless segment. I'm just wondering if you can provide any more color as to why you decided this business to be non-core. And then also, do you have a potential buyer lined up? And if so, when do you expect the deal to close?
Hock E. Tan - President, Chief Executive Officer & Director: To answer your question, it's more than just one business that we put into non-core apparently, not necessarily from wireless. But really the truth is for obvious reasons, we really prefer and not at liberty to divulge more details because we are running a process.
Srinivas Reddy Pajjuri - CLSA Americas LLC: Got it, thank you.
Operator: And, ladies and gentlemen, this concludes our Q&A session for today. I would like to turn the call back to Ashish for final remarks.
Ashish Saran - Head-Investor Relations: Thank you, operator. Thank you for participating in today's earnings call. We look forward to talking with you again when we report our second quarter fiscal year 2016 financial results.